Operator: Good morning, ladies and gentlemen, and welcome to Revlon’s third quarter 2009 earnings conference call. At the request of Revlon, today’s conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the call over to Mr. Steven Berns, Revlon Executive Vice President, Chief Financial Officer, and Treasurer. You may begin, Mr. Berns.
Steven Berns: Thank you. Good day, everyone, and thanks for joining today’s call. Earlier today we released our results for the third quarter and nine months ended September 30, 2009. If you have not already received a copy of the earnings release, you may obtain one on our website, revloninc.com. On the call with me today are Alan Ennis, Revlon’s President and CEO, and Chris Elshaw, Executive Vice President and Chief Operating Officer. On today’s call, Alan will provide a strategic update on the business and Chris will review our marketplace performance. Lastly, I will review our financial results. Before we get started, I would like to remind everyone that our discussion this morning might include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Information on factors that could affect the company’s results from time to time and cause them to differ materially from such forward-looking statements is set forth in the company’s filings with the SEC, including our 2008 Form 10-K and our third quarter 2009 10-Q, which we intend to file later today. Our remarks will include a discussion of adjusted EBITDA and free cash flow, which are non-GAAP measures that are defined in the footnotes of the release we issued this morning and are reconciled in the case of adjusted EBITDA to net income and in the case of free cash flow to net cash provided by operating activities, the most directly comparable GAAP measures in the accompanying financial tables. Unless otherwise noted, our discussion this morning of share, dollar volume data and product ranking is based on US mass retail dollar volume according to ACNielsen, which excludes Wal-Mart as well as regional mass volume retailers; prestige stores, department stores, Internet, door-to-door, television shopping, specialty stores, perfumeries and other distribution outlets, all of which are channels for cosmetic sales. The ACNielsen data is an aggregate of the chain drug channel, Target, K-Mart, and food and combo stores, and in total represents approximately two-thirds of the company’s US mass retail dollar volume. And finally, as a reminder, our discussion this morning should not be copied or recorded. With that, I will hand it over to Alan Ennis, President and CEO.
Alan Ennis: Thank you, Steven, and good morning, everyone. As we have discussed in the past with you, our business strategy focuses on building and leveraging our strong brands; improving the execution of our strategies and plans and providing for continued improvements in our organizational capability through enabling and developing our employees; continuing to strengthen our international business; improving our operating profit margins and cash flow; and improving our capital structure. The successful execution of this strategy has led to significantly improved profitability, a reduction in debt, maintaining our market share around the world, and the generation of net income and positive free cash flow in 2008 and for the first nine months of 2009. Revlon has incredible talent and capabilities, broad geographic reach, strong global brands, and a heritage that recognizes the importance of philanthropy. We continue to take actions to strengthen our brand and to enable Revlon to become a stronger, more financially sound company. We continue to have measured success around the world while staying true to our vision of providing glamour, excitement, and innovation to consumers through high quality products at affordable prices. We remain keenly aware of the current challenging economic environment. We continue to manage our resources carefully while maintaining a balanced perspective on the long-term growth of our brands. We continue to focus on successfully executing our established business strategy while we monitor economic and competitive conditions and adjust our plans as appropriate in order to maximize results. Let me now take a few minutes to discuss specific actions we have taken and the progress we have made in the third quarter of 2009 in furtherance of our established business strategy. So first, building and leveraging our strong brands. We continue to develop and improve our three-year brand portfolio strategy for all of our brands and to focus on the drivers of profitable brand growth, namely innovative, high quality, consumer preferred brand offering; effective consumer brand communication; appropriate levels of advertising and promotion; and superb execution with our retail partners. In meeting the needs of consumers seeking new innovative products, we introduced several new products in the second half of 2009 and we will introduce a further exciting lineup of new products for the first half of 2010, which Chris will discuss with you later in this call. Secondly, improving our operating margins and cash flow. As part of our business strategy to improve margins and cash flow, we fully executed an organizational restructuring that we enhanced on May 28, 2009. This restructuring right sized the organization to reflect the more efficient work flows and processes that we have implemented over the past two years. And it is delivering the expected savings. This action represented an important, necessary, and logical next step forward for Revlon and is enabling us to become a stronger, more financially sound company, while continuing to invest in our people and our brands. Additionally, we continue to take advantage of opportunities to reduce direct and indirect input costs. Improving our capital structure. Steven will cover with you in more detail we further improved our capital structure in the third quarter. We completed the exchange offer, which resulted in the extension of the maturity of our senior subordinated term loan. And so far in 2009, we have reduced debt by $58 million, and since the start of 2008, by nearly $170 million. In addition to lower debt levels, we have benefited from lower interest rates on our floating rate debt. We believe that the continued execution of our established business strategy will over time generate profitable net sales growth and sustainable positive free cash flow. So with that, let me hand it over to Chris, who will take you through our marketplace performance.
Chris Elshaw: Thank you, Alan, and good morning, everyone. According to ACNielsen, which as you know does not include Wal-Mart, our largest customer, the mass color cosmetics category in the US grew in the third quarter of this year by 0.7%, although the rates of growth has slowed from 1.3% in the second quarter of 2009. While retailers continue to watch inventories very closely, we believe that the effect on net sales in the third quarter was not significant. Now moving to our brand performance in the third quarter of 2009 versus a year-ago quarter. Revlon color cosmetics dollar volume declined 4.4%, resulting in a share of 12.6%. Looking at the first nine months of 2009, however, compared to the same period last year, Revlon’s share was virtually unchanged at 12.8%. Our period-to-period share reflects new product launch timing and promotional phasing, as well as the impact of market factors such as category performance and competitive activity. Revlon color cosmetics during the third quarter benefited from successful 2009 product introductions. Revlon continued to lead the lip segments with a 22.3% share, driven by ColorStay Ultimate liquid lipstick, which is in the ACNielsen top ten new products. Continued positive performance by Revlon Crème Gloss and Revlon Matte lipstick also added to Revlon’s lip segment results. In the eye segment, Revlon dollar volume grew 4.1%. DoubleTwist mascara and the ColorStay range of eyeliners and brow colors continued their strong performance. In the face segment, we benefited from the positive performance of the Age Defying Spa range and the new ColorStay Minerals introductions. The performance of these 2009 face segment product launches were offset by cycling the successful 2008 launches of Beyond Natural foundation, Custom Creations foundation and ColorStay Mineral powder foundation. Moving on to Almay, Almay dollar volume decreased 6.1%. Gains from 2009 new product introductions, including Smart Shade Smart Balance makeup and Pure Blends, benefited Almay in the face segment, partially offsetting declines from products launched in prior years and from discontinued lines. Almay also maintains its leadership in the eye makeup remover segment. In women’s hair color, dollar volume in the category declined by 3.6%, while Revlon ColorSilk hair color grew by 18.4%, resulting in a share gain of 1.9 points. As we have said before, more units of Revlon ColorSilk hair color continue to be purchased in the US market than any other brand. Moving to anti-perspirants/deodorants, dollar volume in the category declined by 0.7%, while Mitchum declined 10.2%. Mitchum holds the leading position in jewels, a subcategory that has been negatively impact by the expansion of clinical type products. Mitchum is a key strategic brand for us, and we intend to continue to focus and support the brand with appropriate levels of advertising and promotion, as well as new product introductions. And finally, in Beauty Tools, dollar volume in the category declined 20.7%, as the category cycled the launch of a non-traditional pedicure tool in 2008. Revlon Beauty Tools declined by 9.7% and gained 2.6 share points, taking share to 21.3%. Revlon continues to hold the number one position in the beauty tools category. Now in relation to our first half 2010 new products innovations, as we have said, in meeting the needs of consumers seeking new, innovative products, we already introduced several new products in the second half of 2009, featuring first-to-market breakthrough technologies in Revlon and Almay color cosmetics, including Revlon ColorStay Ultimate Liquid Lipstick, Revlon DoubleTwist Mascara, Revlon ColorStay Mineral Mousse Makeup, and Almay Smart Shade Smart Balance Makeup. For the first half of 2010, we will introduce a further exciting line-up of new products in Revlon and Almay color cosmetics, Revlon Beauty Tools, and Mitchum. These launches will include several first-to-market technologies, including proprietary technology for pigment coatings that provide advanced performance in multiple product categories, including the lip and face category, as well as on-trend shades that are a hallmark of Revlon’s color authority. The first half 2010 product offerings will be available in retail stores beginning in January 2010. Now I’ll turn it over to Steven to review the financial results.
Steven Berns: Thank you, Chris. Starting with the P&L for the third quarter of 2009, net sales were $326.2 million, a decrease of $8.2 million compared to $334.4 million in the third quarter of 2008. The primary driver of the net sales decline was the unfavorable impact of foreign currency fluctuations. Excluding this unfavorable impact -- currency impact of $5.8 million, net sales decreased only 0.7%. From a brand standpoint, we have lower net sales of Revlon color cosmetics, partially offset by higher net sales of Revlon ColorSilk hair color. During the quarter, ColorSilk was a top performing brand in the women’s hair color category, as its retail consumption increased our market share from 8.1% in the third quarter of last year to 10% in the third quarter of 2009. In the United States, third quarter 2009 net sales were $183.7 million, a decrease of $5.7 million or 3% compared to $189.4 million in the same period last year. The decrease was driven by lower net sales of Revlon color cosmetics and Revlon beauty tools, which were partially offset by higher net sales of Revlon ColorSilk hair color. The lower net sales of Revlon color cosmetics were primarily due to lower net sales in the face segment, including the cycling of the 2008 launch of Beyond Natural. In our international operations, net sales in the third quarter of 2009 were $142.5 million, a decrease of $2.5 million or 1.7%, compared to $145.0 million in the same period last year. The entire decline was due to unfavorable foreign currency fluctuations, which negatively impacted net sales by $5.8 million in the quarter. Therefore, excluding the unfavorable foreign currency fluctuations, net sales increased 2.3%, driven by higher net sales in the Latin America and Asia-Pacific regions, partially offset by lower net sales in the Europe region. Excluding the FX impact, the growth in net sales was primarily due to higher net sales of Revlon ColorSilk hair color, partially offset by declines in Revlon color cosmetics. In our Asia-Pacific region, which is comprised of the markets in the Asia-Pac region and Africa, net sales essentially unchanged at $70.3 million. However, excluding unfavorable foreign currency fluctuations, net sales increased 0.7% over the year-ago quarter. This growth was primarily due to higher net sales of Revlon color cosmetics in Australia and China, partially offset by lower net sales of Revlon color cosmetics in Japan and South Africa. In our Europe region, which is comprised of Europe, Canada, and the Middle East, net sales were $43.2 million compared to $49.8 million in the year-ago quarter. Excluding unfavorable foreign currency fluctuations, net sales were down 6%. Lower net sales of Revlon color cosmetics in the UK and Canada were partially offset by higher net sales of Revlon skincare in certain distributor markets. In our Latin American region, which is comprised of Mexico, Central America, and South America, net sales increased nearly 17% to $29 million compared to $24.8 million in the year-ago quarter. Excluding unfavorable foreign currency fluctuations, net sales were up 23.4%. This increase was primarily driven by higher net sales in Venezuela and Argentina and higher net sales also of beauty care products in certain distributor markets. As a reminder, from a financial reporting perspective, promotional allowances are recorded as a deduction to arrive at net sales, while advertising costs are recorded within SG&A in the P&L. Moving to gross profit, in the quarter, our gross profit margin improved to 63.9% compared to 62.1% in the year-ago quarter, representing an increase of 1.8 margin points. Gross margin in this year’s third quarter was favorably impacted by lower returns and allowances primarily on color cosmetics, lower inventory obsolescence charges, and favorable manufacturing efficiencies, partially offset by higher pension expense impact on the cost of goods as well as unfavorable changes in sales mix and unfavorable foreign currency fluctuations. Operating income in the third quarter of 2009 was $50.3 million compared to $19.8 million in the same period last year. And adjusted EBITDA in the third quarter of 2009 was $66.5 million compared to $42.6 million in the same period a year ago. The improvement in both operating income and adjusted EBITDA were the result of lower SG&A expenses of $155.4 million, an improvement of $32.1 million from $187.5 million in the third quarter of last year. This improvement was driven in part by our ongoing approach to take advantage of all opportunities to reduce our direct and indirect input costs. For example, we achieved lower advertising rates while increasing our media presence. So what this means is that we paid less for each gross rating point, also referred to as a GRP, but we purchased more GRPs during the quarter. In addition, we reduced our media production costs. Therefore in total, we spent less on advertising in the quarter, but purchased a greater amount of media rate. In addition, other SG&A was favorable this quarter versus the third quarter of 2008, driven primarily by the realization of restructuring savings, following the May 2009 restructuring, lower permanent display amortization expenses, which has been achieved by a significantly improved product portfolio planning process, which has resulted in lower display spending for several quarters. We expect to spend approximately $40 million on permanent displays for all of 2009. Third quarter 2009 operating income and adjusted EBITDA included pension expense of $6.7 million compared to $1.9 million in the third quarter of 2008. Income from continuing operations in the third quarter of 2009 was $23.1 million, or $0.45 per diluted share. That’s $0.45 per diluted share, a profit, compared to a loss in the prior year third quarter of $15.2 million, or $0.30 per diluted share. The improvement in income from continuing operations was driven primarily by the $30.5 million increase in operating income as well as lower interest expense of $6.1 million. Finally, included in calculating income from continuing operations for the third quarter of 2009 is a charge for $2.6 million related to the consolidation of our office facilities in New Jersey, which we announced as part of the May 2009 restructuring. As we have mentioned previously, annualized cost reductions from the May 2009 organizational restructuring are expected to be $30 million. In the third quarter, $6 million of savings was realized. As expected, $15 million in total savings from the restructuring is expected to benefit our second half results with an incremental $15 million benefiting the first half of 2010 for the total annualized savings of $30 million. We have incurred charges of $20.8 million related to the restructuring, of which $18.2 million was recognized in the second quarter of 2009, and the balance of $2.6 million, which I mentioned a moment ago, was recorded in the third quarter of this year. Interest expense for the third quarter was $23 million, an improvement of $6.1 million from $29.1 million a year ago, as a result of lower average volume rates in addition to lower average debt levels. Provision for taxes in the third quarter was $2.5 million, which is effectively flat to the third quarter of 2008. Net income in the third quarter of 2009 was $23.1 million or $0.45 per diluted share, including the $2.6 million of restructuring charges compared to $29.2 million or $0.57 per diluted share in the same period last year. The period last year included income from continuing operations of $44.4 million. Free cash flow in the quarter was $51.4 million compared to $16.9 million in the year-ago period. This improvement was primarily driven by higher income from continuing operations and working capital efficiency, specifically reducing our inventory levels while maintaining customer service levels at a very high level. Looking briefly at the P&L for the first nine months of 2009, net sales decreased 6.1% to $951.3 million compared to net sales of about $1.012 billion in the same period last year. Excluding unfavorable foreign currency fluctuations of $42.8 million for the nine-month period, net sales decreased by 1.8%. In the US, net sales decreased 3.8% in the nine-month period to $560.9 million compared to net sales of $583.0 million in the nine-month period of 2008. In our international operations, net sales decreased 9.1% to $390.4 million compared to $429.6 million in the year-ago period. Once again, excluding the unfavorable impact of foreign currency fluctuations of $42.8 million, net sales in our international operations were up 0.8% compared to the nine-month period last year. Operating income was $108.5 million compared to $111.0 million in the same period a year ago. And adjusted EBITDA was $158.6 million compared to the $181.4 million in the same period last year. Income from continuing operations was $35.7 million, or $0.69 per diluted share, compared to $1.9 million, or $0.04 per diluted share, in the year-ago period. Net income was $36 million in the nine-month period or $0.70 per diluted share compared to $46.6 million or $0.91 per share in the first nine months of 2008. Operating income, income from continuing operations, and net income in the first nine months of 2009 included a total charge of $20.8 million related to the previously announced May 2009 restructuring, of which the $18.2 million was recorded in the second quarter and the $2.6 million was recorded in the third quarter, as I had mentioned previously on this call. Operating income, adjusted EBITDA, and net income in the first nine months of 2008 included a net gain of $4.8 million, $5.2 million, and $4.0 million respectively related to the sale of a facility in Mexico. In addition, operating income, adjusted EBITDA, and net income in the first nine months of 2008 also included a net gain of $5.9 million related to the sale of a non-core trademark. The provision for taxes in the nine months ended September 30, ’09, was $300,000 compared to $16.8 million in the 2008 period. The favorability in the 2009 period is the result of the favorable resolution of several tax matters and lower pretax income in taxable jurisdictions -- in taxable subsidiaries in certain foreign jurisdictions. In addition, cash taxes for the nine months ended 9/30/09 were $9.7 million, down from $20.9 million in the nine months ended September 30th of 2008. This is a due to a withholding tax payment of approximately $10 million in the 2008 period related to the sale of the Bozzano brand. The sale of Bozzano is accounted for as a discontinued operation in the 2008 financial statements. Operating cash flow in the first nine months of 2009 was $77.2 million compared to $43.9 million in the year-ago period. An importantly, free cash flow in the first nine months of 2009 was $68.6 million compared to $38.9 million in the same period last year. Free cash flow in the first nine months of 2008 included proceeds of $3.5 million related to the sale of a facility in Mexico and proceeds of $5.9 million related to the sale of a non-core trademark. Moving on to borrowing capacity, our unutilized borrowing capacity as well as our cash at September 30, 2009 totaled $173.2 million, and that was comprised of $113.5 million available under our revolving credit facility and $59.7 million of available cash. In line with our strategy of improving our capital structure, we have reduced debt by $58 million in the first nine months of 2009. Included in this amount is a debt reduction in the third quarter of 2009 of $10 million. That $10 million is comprised of a repurchase of $8.6 million in aggregate principal amount of our 9.5% senior notes and a reduction in outstanding revolver borrowings of approximately $1.5 million. After these repurchases, there remained outstanding $350.5 million aggregate principal amount under our 9.5% senior notes. Furthermore, in October 2009, since the close of the third quarter, we have repurchased an incremental $10 million in aggregate principal amount of our 9.5% senior notes, reducing the outstanding principal amount to $340.5 million. On October 8, 2009, we completed the exchange offer in which we issued 9.3 million shares of preferred stock with an aggregate liquidation preference of $48.6 million to holders of Class A Common Stock who exchanged their shares on a one-for-one basis. Importantly, the effect of this exchange was to extend the maturity of the $107 million senior subordinated loan with $48.6 million -- $48.6 million now due to the preferred stockholders in October 2013 and the balance of $58.4 million payable to MacAndrews & Forbes in October 2014. Now let me update you on several factors that are likely to impact the balance of our 2009 financial performance, specifically pension, foreign exchange, and certain other items, which impact cash flows. Beginning with pensions, for 2009, we expect our pension expense to be approximately $25 million to $30 million. Additionally, we now expect the cash contributions to the pension and post-retirement plans will be approximately $25 million this year compared to the $25 million to $30 million that we told you in the second quarter of 2009 as well as compared to $12.8 million paid in 2008. Next, related to currency, there were two potential impacts to our financial statements. First, in regard to the translation impact of reporting the results of our international operations in US dollars, in the fourth quarter of 2008, the US dollar strengthened significantly relative to other major currencies. As a result, our reported third quarter 2009 net sales were negatively impacted by $5.8 million, which equates to a 4% decline in net sales in the third quarter for our international business or a 1.8% decline in the company’s total net sales. Further, as it relates to the expected impact on our fourth quarter 2009 results, at September 30, 2009, the US dollar had weakened against most other major currencies from the levels in the fourth quarter of 2008. Therefore, if foreign currency rates versus the US dollar remain at their September 30, 2009 levels throughout the fourth quarter, we would not expect an adverse impact from foreign currency on our net sales in the fourth quarter of 2009 as compared to the fourth quarter of 2008. Second, as we have said previously, changes in foreign currency rates could have an impact on our 2009 results as approximately 40% of our international products are sourced from our manufacturing facility in North Carolina. In the first nine months of 2009, the impact of a stronger US dollar versus foreign currencies resulted in higher input costs for our international business, and therefore unfavorably impacted gross margins to the extent that we were not immediately able to pass those increased costs on to the consumer. Therefore, with our inventory turning approximately three to four times a year, there was a time lag until the full transaction impact flows are recorded through the P&L. As we have indicated on previous calls, while we are not providing specific guidance for adjusted EBITDA for 2009, we have previously provided information to assist you in understanding the factors that will impact our expected full year 2009 cash flows. So now updating the information we provided to you on our July 2009 call, with regard to capital expenditures, we expect to spend approximately $15 million on CapEx, unchanged from our guidance on the second quarter earnings call; permanent display expenditures are expected to be approximately $40 million, unchanged from our guidance on the second quarter earnings call; and cash interest paid is expected to be approximately $95 million. We did not provide any guidance on our second quarter earnings call. So that is new guidance. Taxes paid in 2009 are expected to be approximately $15 million, also unchanged from our guidance on the second quarter earnings call. All other cash flows in 2009, including changes in working capital and the impact of higher pension expense, as well as pension contributions I mentioned, are anticipated to result in cash usage of approximately $5 million. This is an improvement from the $15 million estimate we provided last quarter, and that is driven primarily by lower inventory levels. This concludes our prepared remarks. And we would now like to open the call up for your questions. Operator, please prompt the participants for questions.
Operator: (Operator instructions) Your first question comes from the line of Patrick Trucchio with BMO Capital Markets.
Alan Ennis: Good morning, Pat.
Patrick Trucchio: Hi, good morning. I apologize in advance if you’ve already answered these. I’ve been on and off the call. But the first question I had was on retail inventory levels. Last quarter, you felt [ph] that the retail inventory destocking would be permanent. Could you give us an update on what’s happening with that?
Chris Elshaw: Well, as we said earlier, we don’t see -- we don’t believe we’ve seen any significant impact on our net sales results in the third quarter from further inventory destocking. However, retailers continue to be very closely focused on inventory levels and they are just monitoring the situation very carefully.
Patrick Trucchio: Okay. And then secondly, on the restructuring program, I think the total savings you expected from the initiative was about $30 million, with $15 million in the second half of 2009? Could you provide some color on how that benefit impacted the third quarter? How much you realized in the third quarter? And are you still on track to achieve the $15 million in the second half and the $30 million annualized?
Steven Berns: Yes, sure, Pat. In terms of being on track, we are absolutely on track. We executed the program flawlessly on schedule in May and June. We realized $6 million of savings in the third quarter, which was our plan. We would realize a further $9 million of savings in the fourth quarter and then the balance of $15 million will benefit the first and second quarter of next year.
Patrick Trucchio: Okay. Okay. That’s great. Thanks so much.
Alan Ennis: Thanks, Pat.
Operator: (Operator instructions) Your next question comes from the line of Ken Ben with Jefferies & Company.
Ken Ben: Yes.
Alan Ennis: Good morning, Ken.
Ken Ben: Good morning. Could you talk about advertising going into the fourth quarter and into the first half of next year? With the new products, will you be increasing that or are you still just getting much better deals on advertising so that the expense will still be lower even though you are getting more exposure?
Alan Ennis: Well, a couple of things. First of all, as it relates to the third quarter, to reiterate the points you made earlier, so we actually in the third quarter increased our media presence across our portfolio of brands around the world. So we realized rate savings. So we got our -- our gross rating points were at lower rates. So we actually benefited from a cost standpoint. As we go into the fourth quarter, what’s actually important is that we support our new product launches with the appropriate level of advertising and promotion, which has been our strategy since we developed our three-year portfolio plan three years ago. So we will continue to do what’s appropriate to make sure that our new product launches and our core franchises are supported with the appropriate media presence in the marketplace. As for costs, the media -- the media year, specifically in the US, typically runs from October through October. So -- and we have locked in rates through October of 2010. So we would expect to continue to benefit from lower media rates as we go through the balance of the media year.
Ken Ben: So overall -- I mean will we expect advertising even with the new product launches or hopefully it would be lower than last year? Is that --?
Alan Ennis: Well, we are certainly going to benefit from lower rates, but we -- the key driver will be making sure that we have the appropriate media presence in the marketplace. So it will vary depending on our new product launches as well as the competitive landscape.
Ken Ben: Okay. And going into 2010, do you have yet any estimate or can you give us any insight as to what you think your pension expense might be in 2010 and any insight about the tax contributions in 2010?
Steven Berns: Yes. We are not providing guidance on any amounts of pension or other matters for 2010.
Ken Ben: Okay. All right. Thank you very much.
Alan Ennis: Thank you, Ken.
Operator: (Operator instructions) This ends the question-and-answer session for today’s call. We will now turn the thing back over to Mr. Ennis for closing remark.
Alan Ennis: Thank you, Stephanie. I would like to expressly, first of all, thank our dedicated employees around the world for their flow of execution during the quarter. And thank you all for participating in today’s call and for your continued interest in Revlon. Thank you.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.